Operator: Greetings. Welcome to the Champions Oncology Second Quarter Fiscal Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Ronnie Morris, CEO. You may begin.
Ronnie Morris: Good afternoon. I am Ronnie Morris, CEO of Champions Oncology. Joining me today is David Miller, our Chief Financial Officer. Thank you for joining us for our quarterly earnings call.  Before I begin, I will remind you that we'll be making forward-looking statements during today's call and that actual results could differ materially from what is described in those statements. Additional information on factors that could cause results to differ is available on our Forms 10-Q and Form 10-K. A reconciliation of non-GAAP financial measures that may be discussed during the call to GAAP financial measures is available in the earnings release.  Overall, our second quarter's results were mixed as we continue to navigate through some of the challenges we've been highlighting over the past several quarters. Our financial results were weaker than we have been accustomed to delivering. However, there were several positive foundational developments in our core business that have us well positioned for the future. As we have discussed in the past, approximately 1 year ago, we encountered business headwinds on multiple fronts. The economic environment specifically in our sector turned markedly negative which impacted our customers, and ultimately, Champions Oncology. As our customer's R&D budgets were reduced, we encountered longer sales cycles and fewer studies signed. Additionally, customers had a much higher propensity to cancel all or part of the study they had recently signed. The resulting lower net bookings was the precursor to the anticipated revenue decline we are currently experiencing.  Additionally, in conjunction with the external factors, we identified some operational issues that led to slower revenue conversion, creating further downward pressure on our operating results. I remain optimistic that we have made significant progress towards reversing these trends and we see a light at the end of the tunnel as positive trends are emerging.  We have made the necessary operational changes with some key hires and internal restructuring that we are confident will lead to greater efficiencies and an improvement in our overall operations. Cancellations have receded back to historical levels. Our bookings which are the fundamental foundation for building long-term success are strong and we are anticipating continued acceleration for the second half of this fiscal year. As these higher bookings convert to revenue over the coming quarters, we will see a return to quarterly revenue growth and profitability.  With regard to specific services, we have increased our clinical biomarkers pipeline with an uptick in bookings. This has been an area that has lagged behind our internal expectations but we are feeling more confident that our clinical work can finally become a more meaningful contributor to our long-term revenue growth as it ramps up in accordance with our initial expectations. Similarly, we continue to expand our ex vivo offering adding additional models to our platform which should lead to increasing ex vivo revenue in the coming quarters.  With regards to Corellia our wholly-owned drug development subsidiary, our lead discovery programs are progressing well through therapeutic discovery stages with our two lead programs exhibiting promising results. We continue to be actively engaged with investors in an effort to raise capital to support and accelerate our growth. Although we anticipate a return to revenue growth and profitability given some of the recent weakness in our revenue, in the short-term, we are reducing our quarterly investment in the subsidiary. We do not anticipate this short-term reduction in spend will have a material effect on our progress.  In summary, the quarter's performance was as expected. We anticipate that improvements will slowly take hold and put us back on our targeted trajectory. Despite the slowdown, we continue to have robust bookings, a comprehensive platform, a stellar reputation and a strong team that is poised for the next stage of growth. We are confident that we will emerge with stronger revenue and profitability over the long-term.  Now let me turn the call over to David Miller for a more detailed review of the financial results.
David Miller: Thanks, Ronnie. Our full results on Form 10-Q will be filed with the SEC on or before December 15th. Our second quarter revenue was $11.6 million, a decline of 19% from the second quarter of fiscal 2023. As we've been guiding over the last several quarters, the challenges encountered last year, specifically the customer cancellations, led to a decline in prior quarter net bookings and would lead to lower revenue in the first half 2024. We believe Q2 was the low point and a gradual improvement will follow over the coming quarters. On a GAAP basis, our loss for the second quarter of 2024 was approximately $2 million compared to a gain of $8,000 in the prior year.  Included in the $2 million loss were noncash expenses of stock comp and depreciation totaling approximately $600,000. Excluding these noncash items, our adjusted EBITDA loss was approximately $1.4 million for the quarter compared to an adjusted EBITDA profit of $686,000 in the year ago period.  Turning the focus to our cash based results. The total cost of sales was $6.6 million compared to $7.2 million in our second quarter last year, a decline of 9%. The decrease relative to the same period last year was primarily due to a reduction in outsourced lab services and supply expenses. Despite the decline in cost of sales as a result of our lower top line revenue, our gross margin for the quarter was 43% compared to 49% for the same period last year. Our margins should begin to improve over the coming quarters as our revenue expands and we leverage against the fixed cost component of cost of sales along with our variable cost increasing at a slower pace.  For the quarter, R&D expense was approximately $2.5 million compared to $2.6 million in the year ago period. Our R&D spend is split between our traditional R&D supporting our core business services and investing in our drug discovery platform. Approximately $1.2 million was invested towards our drug discovery efforts during this quarter.  For the quarter, sales and marketing expense was a relatively flat $1.8 million the compared to $1.7 million in the year ago period. Our G&A expense was also unchanged at $2.1 million for the quarters ended October 31, 2023 and 2022. Now turning to cash. We ended the quarter with $5.5 million of cash on the balance sheet and no debt. For the quarter, cash generated from operating activities was approximately $600,000, resulting from an increase in receivable collections and an uptick in deferred revenue. The change in these working capital accounts was in the ordinary course of business. Investment in new lab equipment was a modest $150,000, and cash generated from financing activities was approximately $200,000, primarily from stock option exercises. We anticipate remaining in a generally cash neutral position for the next quarter or two, with a gradual acceleration towards the end of fiscal 2024 and into next year. As our operational results are expected to improve, we believe our cash position remains sound. In summation, directionally, our second quarter financial results were mostly as expected. However, revenue was a bit below our expectations. This is mostly due to timing uncertainty on study completions in the bookings to revenue conversion process. As a result, despite the anticipation of revenue reacceleration in the second half of fiscal 2024, we are revising our full year revenue guidance and expect that revenue growth will be generally flat compared to last year. However, with continued strength in our bookings which are a leading indicator of revenue with the operational corrections made beginning to take effect and with reduction in cancellations, we are confident that despite these short-term obstacles, our long-term prospects are positive. We anticipate a slow but steady improvement in our operational results including revenue growth and ultimately profitability within the next couple of quarters. We look forward to our next update in mid-March when we report our third quarter results. We will now open the call to questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from Matt Hewitt with Craig-Hallum.
Unidentified Analyst: This is Jack on for Matt. As you commented in your prepared remarks, you spoke to elevated cancellations. Is this broad-based or is there one or two large cancellations that represented the delta? And then how are things looking so far this quarter? We're hearing from others in the industry that the rate of cancellations are declining, we're curious if that's consistent to what you're hearing? And then I have a follow-up as well.
Ronnie Morris: Yes. So I would say that it's pretty much a broad-based effect that started a couple of quarters ago that's washing out now. And we don't see it from necessarily one or two customers. We saw it as a kind of a broad-based industry-wide exercise with just a lot of cancellations. Your second question was what again? Sorry. Remind me of your second question.
Unidentified Analyst: How are things looking so far this quarter? We're just hearing from others in the industry that the rate of cancellations are declining, but we're curious if that's consistent with what you're hearing?
Ronnie Morris: Yes. Totally consistent with what we're seeing. The cancellations have come back down to what we call our historical norms, the way it was before. I would say it started about a year or maybe a little over a year ago. So we are seeing that. We're seeing the bookings remain consistently strong with cancellations coming down, which gives us the optimism that we think things are going to get back to the way they were and back to normal profitability and growth in the short-term.
Unidentified Analyst: And then for my follow-up, a lot of pharma and biotech companies are in a midst of budget planning. What are you hearing from them as far as expectations for next year and how do you think that will impact your business?
Ronnie Morris: Yes. So we're hearing some mixed feelings. I think we're generally optimistic. Certainly a lot of the larger pharmaceutical companies as opposed to some of the smaller biotech companies, we feel very confident that their budgets are healthy and we've been in discussions with them about planning for next year. So, I think it's a mixed bag still. I don't think we're back to the way things were a couple of years ago where there was a tremendous amount of investment in biotech. But I don't think it's as bad as it was 1 year, 1.5 year ago where nobody knew what to do and everyone was hoarding cash and was worried about where they're going to be able to raise money and holding on to budgets really tightly. So I think we're better than we were. I don't think we're back to the way things were a couple of years ago but there are certainly different strategies. One of our strategies is to focus more on the large pharma and who I think have more visibility into their R&D budgets than some of the smaller biotechs.
Operator: [Operator Instructions] Okay. We have no further questions in queue. I'd now like to turn the call back over to management for closing remarks.
Ronnie Morris: Thank you everybody for joining us for our quarterly call. Clearly not the quarter we expected. Certainly the quarter we expected a quarter ago but certainly not something that we have generally expected over the last couple of years with a lot of growth. We're looking forward based on all the information that we see in front of us to getting back to the continued growth. We're excited about the drug development effort and the subsidiary that we have carved out. In terms of that endeavor we're also excited about some of our newer service lines including clinical biomarkers and our ex vivo platform. So a lot of promising news to come and we look forward to updating everybody on our next quarterly call in a couple of months. Thank you everybody for joining. Bye. 
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.